Operator: Greetings and welcome to the Ring Energy, Inc. 2019 Fourth Quarter and 12-Month Financial and Operating Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Mr. Tim Rochford, Chairman of the Board of Directors of Ring Energy. Please go ahead, sir.
Tim Rochford: Thank you, operator. And we’d like to welcome all the listeners to the 2019 fourth quarter and 12-month financial and operations conference call. Again, my name is Tim Rochford, Chairman of the Board. Joining me on the call this morning is our CEO, Kelly Hoffman; David Fowler, our President; Randy Broaddrick, our Chief Financial Officer; Danny Wilson, Executive VP of Operations; and Hollie Lamb; Vice President of Engineering as well as Bill Parsons, Investor Relations. Today, we'll cover the financials and operations for the fourth quarter and 12 months ended December 31, 2019. But because of the special circumstances and the recent events that we're experiencing right now, all of us, we feel it's necessary and it's of utmost importance to identify, discuss and summarize factors that both directly and indirectly affect the ongoing operations of the Company. So, we plan to do that in a broad sense. And at the conclusion of the fourth quarter and 12-month review, we'll turn it back over the operator and we can open it up then for any questions you may have. For now, I'm going to ask Randy Broaddrick, our Chief Financial Officer to just give us a brief overview. Thank you, Randy.
Randy Broaddrick: Thank you, Tim. Before we begin, I would like to make reference that any forward-looking statements, which may be made during this call or within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. For a complete explanation, I would refer you to our release issued Wednesday -- sorry, Monday, March 16, 2020. If you do not have a copy of the release, one will be posted on the website -- the Company website at www.ringenergy.com. Revenues for the 3 and 12 months ended December 31, 2019 were $52.2 million and $195.7 million. Net income for the 3 months ended was $5 million or $0.07 per share, and for the 12 months was $29.5 million or $0.44 per share. For the three-month period, net income includes a pre-tax loss on derivatives of $6.1 million. For the 12-month period, net income includes a $3 million pre-tax loss on derivatives, a $3.8 million additional tax expense and acquisition-related costs of approximately $4.2 million. Net cash flow from operations was $30.1 million for the three-month period and $107.5 for the 12-month period. This equates to $0.44 per share for the three months and $1.61 for the 12 months. Our oil sales volume for the three months ended December 31, 2019 was 923,384 barrels as compared to 906,874 barrels for the three months ended September 30, 2019. Gas sales volume was 779,099 MCF, as compared to 731,627 MCF for the three months ended September 30, 2019. On a BOE basis, our sales volume for the three months ended December 31, 2019 was 1,053,233 as compared to 1,028,812 for the three months ended September 30, 2019. For the 12-month period 2019 oil volume was 3,536,126 and our gas volume was 2,476,472 MCF. On a BOE basis that is 3,948,871. For the three months ended December 31, 2019, our received price per barrel oil was $54.92 and our received price per MCF of gas was $1.94. On a BOE basis, this equates to $49.59. For the 12 months period, our received price per barrel of oil was $54.27, and our received price per MCF of gas was $1.54. On a BOE basis, this equates to $49.56. On our oil, the price differential from NYMEX WTI was approximately $2 per barrel for the three-month period; and approximately $2.75 for the 12-month period. On prior conference calls, we have made more comparisons of our current results with the prior year's results for the same period. We refrain from doing that this time in order to spend more time on current events. Those comparisons are in the news released put out yesterday as I referenced previously. However, before I turn this back over to Tim, I would like to highlight a few key points that I believe would provide clarity regarding items referenced in recent publication. Again, we achieved not only cash flow neutrality, but we were cash flow positive in the fourth quarter in excess of $4 million. That's quite an accomplishment for a young company such as ours. We came in under our annual CapEx budget by approximately $9 million. Our LOE including production taxes for the three months period was $13.64 per BOE, or approximately 27.5% of revenues. For the 12-month period, LOE was $14.59 per BOE or approximately 29.4% of revenue. Our total G&A for the three-month period was $4.87 per BOE or approximately 9.8% of revenue. These numbers included year-end cash bonuses of approximately 580,000. For the 12-month period, G&A was $5.27 per BOE or approximately 10.6% of revenue. The herein numbers included about $4.2 million in acquisition-related costs. Without the acquisition-related costs, 12-month G&A would have been $4.19 per BOE or about 8.5% of revenue. We're compliant with the covenants of our senior credit facility. The balance as of December 31st was $366.5 million. We do have a scheduled redetermination in May. As noted, as a subsequent event in our 10-K and also in our press release, we have entered into hedges for 2021 that were done prior to this latest downturn. While we do not know what price decks the banks will use after redetermination, these hedges will help us retain some of our value. We currently have 5,500 barrels a day for calendar year 2020 hedged with a floor of $50. And we have a total of 4,500 barrels a day hedged for calendar year ‘21 with 2,000 of that with a floor at $45 and the remaining 2,500 with a floor at $40. Even at a $30 received price per BOE, absent any drilling, management's confident that going forward, the Company can not only service its current debt, but reduce it.  With that, I will turn it back over to Tim. 
Tim Rochford: All right, Randy. Thank you for that. I appreciate it. I'm going to ask Kelly Hoffman, our CEO, to review our 3-month and our full 12-month operations for 2019. Kelly?
Kelly Hoffman: Thank you, Tim. And I want to thank everyone for joining us on our call today. We drilled 4 new one-mile horizontal San Andres wells on our Northwest Shelf asset in the first quarter. We completed, tested and filed IPs on 8 wells in the fourth quarter of 2019. And the average IP rate for all of those 8 wells was 504 BOE per day. And that equates to 104 BOE per 1,000 lateral foot on an average of about 4,990 feet per well. We also participated in three non-operated horizontal wells in the Northwest Shelf in the fourth quarter. At the end of the fourth quarter 2019, we had four additional wells in various stages of testing. And we performed 20 conversions from ESP to rod pumps in the fourth quarter of 2019. And all drilling activities, work over projects were all completed on time, and then were all within our proposed budget. For the 12 months ending December 31, 2019, we drilled a total of 30 new wells and 13 of which were located in CBP, 16 of those wells were the Northwest Shelf, and one of the wells was in a Delaware project that we have. For the same period, we completed, tested and filed the IPs on 39 horizontal wells, and the average IP of those wells was about 472 BOE per day, and that equates to about 105 BOE per 1,000 foot lateral. As it relates to the Northwest Shelf, since acquiring the Northwest Shelf in April, we drilled a total of 16 wells, completed, tested and filed IPs on 14 of those wells, of which the IP rights were 555 BOE per day, or 114 BOE per 1,000 foot. As you can see, the average IP rate for the Northwest Shelf is noticeably higher than the overall Company average. And that just gave you that comparison to 555 versus 472 on the overall Company. The net production in the fourth quarter of 2019 was approximately 1,049,200 BOEs per day -- I'm sorry, BOE. That approximates to 11,400 BOE per day. When you compare that to the third quarter production of 1,015,000, that's an approximate increase of 3.4% quarter-over-quarter. I want to back up and take a moment here to talk a little bit about our 2019 acquisition, which was the Wishbone asset. We purchased the asset in April. Production was down somewhat, and that was due to a lack of spending, I think all the way from October till the time we took it over in April. Once we took it over, we got control of the project, we started our drilling and maintenance program, we began seeing some immediate results. Moving forward to the snapshot today and Danny Wilson is going to give you a little more color about this here in a moment. We now have a multiyear Tier 1 drilling inventory with very high IRRs and ROIs, even at today's pricing. So, this asset allowed us to generate over -- as Randy said, over $4 million in positive cash flow in the fourth quarter alone. Tim mentioned at the beginning of the call that we believe it's very important to our shareholders that we discuss the current market conditions and how they affect the Ring Energy. We all are aware today of the issues relating to the virus and what's happening to companies and what's happening to just the overall communities and day to day lives. And we're taking necessary precautions to protect the Company. Anything that we can do to protect our people, the Company and keep doing what we do best is what we're doing right now. Some of these things I'm going to talk about here for a moment. Currently, we’ve ceased all of our drilling. As of now, we’ve drilled four horizontal wells on Northwest Shelf. It's possible we may drill more wells by year-end, but we're just going have to wait and see how things play out for the next few months and make that decision. We have no obligations or commitments for equipment or services moving forward. However, if prices improve and the market changes suddenly, it becomes important to show growth for whatever, and I want to be sure everybody understands, we can move equipment out in a day or two. These are conditional reservoirs, Danny is going to give you a more color on that, but if we want to get busy, we can get busy very quickly. And from the start to the end of putting wells on line, in the tanks and selling oil, it's about 30 plus days, maybe 40 days, and we're in the tanks and we're making money. That's available to us at a moment's notice. We plan to continue capital expenditures for necessary upgrades, improvements, so long as we can clearly see how they will lower our LOE costs going forward. Many of you realize that our breakeven -- may not realize that our breakeven cost is under $25. And that's a real number. It's also including lifting cost, production taxes, G&A, cash expenses and interest, and this excludes capital cost of course. And we intend to make every effort to reduce cost and improve efficiencies. Already last week began seeing some of the vendors start to lower the cost. And so, we're going to continue to see those costs ratchet down a little bit. And I think it'll help increase margins. We're constantly running different scenarios internally. And those different scenarios will help us stay ahead of the market. Our main objective here is to stay focused on protecting the balance sheet. We continue to have ongoing discussions with a number of interested parties regarding our marketing efforts of the Delaware assets. Many of you may know, we started marking those assets last year. At the end of the year, we've had a lot of conversations with a lot of people. We’ve got some very, very positive conversations going on today with a number of people. I believe the market is going to continue to allow us and others to transact. It just requires a lot of handholding. Things don't happen quite as fast as they used to, but they're still happening. To the extent we free up cash flow from non-drilling activities, we can further reduce our debt. It's very important. And let me say this another way. Absent of drilling, at $30 oil, we're confident in our ability to not only service, but we can reduce our debt. That's a serious staying power. We will have redetermination in May. Currently we're in compliance with all the requirements of covenants. We maintain a close line of communication with our banks, very strong relationship with our banks. And I know Randy mentioned this earlier, but it's worth mentioning again, as it relates to our hedges, we have 5,500 barrels hedged at $50 for the rest of 2020, 4,500 barrels hedged for 2021 of which 2,000 of those barrels is a $45 as Randy has already stated, to make sure everybody takes that away from this call, and the remainder is at $40 bucks. And with that, I'm going to hand it over to Danny and Hollie, and let them take a little bit more -- give a little more color on some of these ideas.
Danny Wilson: Kelly, I appreciate that and appreciate everybody being on the call today. I'm going to spend part of my time today addressing some concerns that have come up regarding some recent articles that have been written about Ring Energy by persons with unknown motivations and that contain a series of half truths and some flat out misinformation. Without giving these articles too much credence, I'll address some of the more blaring issues that came out of those, because I know a lot of you have questions about those. And I know also that we have a lot of new -- obviously with the turnover in the market, we have a lot of new investors, who may be hearing some of this information for the first time. So, I'm going to go into a little bit more detail than I usually would. One of the criticisms that we've seen in some of these articles was the purchase of our Wishbone asset. And I'll address that a little bit later. We've also seen people downplaying the quality of our IPs, because they're not as good as the shale players. What they're failing to talk about and that is they're failing to mention the drill cost is associated with those. And then also, we've had -- there was a question regarding our drilling economics, why if they are so good, we’re not ramping up our program, and I'll address all of these. Let me start out by saying, the comparison between us and the unconventional players is a little bit unfair. And I'll give you reasons why -- there are several difference between conventional and unconventional reservoirs. The primary zone of interest for Ring Energy has been from the day we began business has been the San Andres formation, particularly on the Northwest -- or excuse me, on the Central Basin platform. San Andres is a well-established zone, has been producing in the Permian Basin for over 90 years, this produced millions of barrels of oil. It's a dolomitized carbonate, which is considered a conventional reservoir. For over the century that oil has been produced, traditionally, carbonates and sandstones are called conventional reservoirs. And that's because they are able to produce without a great deal of stimulation. They're characterized by high porosity, high permeability, which is the ability of the fluids to flow through the zone without much stimulation, and that's opposed to unconventional reservoirs, which typically, though they'll have some porosity, it's much lower. But they also do not have permeability. A lot of those wells, when I'm talking about shale, silts, chalks, they're all considered unconventional plays. Those wells can't produce without hydraulic fracturing. And that’s because the throat sizes between the pore spaces are so small that the fluid just can't flow through it. So what -- the difference between our play and those plays is, we're using our hydraulic fracturing to connect porosity that's already existing and also enhance the permeability. And whereas they're creating permeability, otherwise their wells would not be able to flow. So, in fact over -- probably until about the last 30 years, most San Andres completions were done with just acid. Hydraulic fracturing in the long-term as the oilfield is really a fairly new and fairly new practice, and particularly on conventional reservoirs. So, this zone has been around a long time and has no comparison really whatsoever to the unconventional play. Another difference between us and the shale players is that our wells are typically drilled to a vertical depth of around 4,500 to 6,000 feet. Whereas the shales are typically 8,000 to 12,000 feet, depending on which target they're going after. Our frac jobs use about 400 to 800 pounds per foot, versus the shales that need 2,000 to 3,000 pounds of sand pre foot, in some cases even higher. Our drill costs, we spend about $1.7 million to $2.6 million per well, depending on the length of the lateral, while the shale wells typically cost between $7 million and $10 million. One of the, I'll call half truth that was pointed out in one of the articles, mentioned that 35% of the wells brought into production in 2019 had IP rate that were over double that of our wells. What the author failed to mention was that those wells cost three to five times more than ours did. So, again, that's not a fair comparison without discussing the drill costs. As to the acquisition of the Wishbone asset, this acquisition was an absolute game-changer for Ring. And although we've been very pleased and we are very pleased with the results of our horizontal San Andres program on the Central Basin platform, the Wishbone acquisition gave us the opportunity to add an even greater number of high-quality, high-return wells to our drilling inventory. As good as our CBP wells are, the Northwest Shelf wells are even better. We're seeing higher IP rates, higher rates of return, and higher returns on investment. And to emphasize that, I'm going to now turn it over to Hollie for a few minutes, and she's going to go through the economics of our drilling program.
Hollie Lamb: Thanks, Danny. We have now had that Northwest Shelf asset approximately a year, and we’ve continued to discover and refine this exceptional asset. We have continued to such update our economics. When we initially rolled out the Northwest Shelf curve, we had an understanding of the production profile at the time. We have since refined the frac, reduced the drilling and completion costs, while at the same time decreasing the LOE with smart equipment deployment. Our production has exceeded our initial expectations. But until we have more data, the production curves will remain a conservative estimate of what we think the Northwest Shelf can do. I'm briefly going to review the changes on the type curves. These slides and the corporate presentation will be updated by close of business tomorrow, so that you can review your numbers at your leisure. Due to diligent efforts in our drilling and completion departments, we have been able to reduce our during completion costs. And as recently as today, vendors have continued to reduce our costs. We had an initial $2.4 million drilling complete cost for a 1-mile lateral on the Northwest Shelf. Thus far, we've been able to reduce that to a $2.1 million investment. These savings are on both sides of the equation, drilling and completion. It also includes a larger fact than the previous operator employs the purchase of the ESP pump, which creates long-term savings. This long-term savings translates into a reduction in our LOE model. When combined with the robust well performance, both impacts create stellar returns at current commodity prices. We have modeled a net realized BOE price of $35, $40 and $45. These models have an internal rate of return that ranges from 71% at 35% to as high as 129 at $45. Our anticipated price will be positively affected by the hedges that both Kelly and Randy mentioned. For example, we have 5,500 barrels of crude hedged at $50. Combining those hedges with an open market price of $29 or $28, we would have an effective oil price above $40. This hedged effective crude price with the low cost of drilling and completion and our continued ratcheting down of our LOE means we can create value even in a depressed market. We additionally updated the CBP curves with regards to LOE and drill cost and completion costs. We have seen savings in that area as well. It demonstrates that the continued development on our legacy CBP assets are accretive as well. We've ratcheted down our drilling complete costs from 1.9 to 1.8 and have a slight reduction in LOE. We have modeled the same net $35, $40 and $45 realize price for BOE. And these models have internal rates of return from 46% at $35 to as high as 89% at $45. At this point, I'd like to hand it back over to Danny to discuss what we've done in 2020.
Danny Wilson: Thank you, Hollie. And before I get to that, I have a few other things I want to visit about. Kelly and Hollie both mentioned, I want to remind everybody, we took over the Northwest Shelf properties from Wishbone in April of 2019 when the acquisition closed. In 2018, Wishbone had a 2-rig drilling program running early in the year. And that was in an effort to drive up the production prior to the sale, something we would all do. As the property went on the marketing in Q3 of 2018, they shut down all the drilling, and drilling wasn't resumed again until we were -- until we took over operations in April. This obviously caused a spike in their production in late 2018, early 2019, and then the production began falling off due to the lack of drilling. And once we were able to get back on there and get a hold of the property and started drilling in April, we were immediately able to rest the decline and a few months later, we actually had the trajectory moving back in a positive direction. And I bring this up, because another article that was put out there was just completely false on the production that they've reported or tried to report to everybody and make our acquisition look like it was a failure. So, I want to address that right now. That article came out and said that in January of 2019, the average production for oil on the Wishbone properties was 6,603 barrels per day, and that by November of 2019, it had fallen all the way to 4,205 barrels a day, which is a 35% decline, even though as they pointed out, we have started drilling again in April. This person was obviously very misinformed or was intentionally misleading the public for reasons known only to that person. In fact, the production on the Wishbone properties averaged 6,935 barrels a day in January of ‘19 and was 7,836 barrels a day in November of 2019, which is actually a 13% increase. Now, I'm going to give a little tutorial here for this person, so that next time they look up our production, they will be able to do it properly. We can only assume that the author was unaware that production from newly drilled wells is reported under the drilling permit number, until completion papers are filed and approved by the Railroad Commission. The completion reports contain all the pertinent information about the drilling and the completion of the well, but they also are not filed until the operator’s ready to file the initial potential test, which can be several months after the wells begin producing. And prior to that time, a simple search for production by operator number will not show the production from these wells, which is usually during the times of peak production for the well, since it's early in the life. Once the completion papers are approved by the commission, historical production will show up during the normal operator search. Prior to approval, a knowledgeable individual can access the production through a search using the drilling permit number. I hope this helps. Another question which has been raised by in one of the articles was about our drilling economics, and if they're so superior, why we aren’t aggressively ramping up our drilling program? In the words of the author, we should be printing money. And as you can tell from our financial report, we did generate over $4 million in free cash flow in Q4, which was -- all year long, that was our stated goal of reaching positive cash flow by the end of 2019. In fact, the author had mentioned that we would have continued to outspend in Q4 which obviously turned out to be false. I also want to address the some of the criticism we've received regarding our non-drilling CapEx. I've been mentioning all year long that we have begun a very aggressive program of rightsizing or pumping equipment, whether it's through replacing larger ESPs with smaller ones, as the total fluid production in the wells naturally decreased, or whether it's by converting the wells to a rod pump from ESP. The cost savings associated with these programs over time is very, very significant. The rod conversion program in particular is very beneficial as it reduces our future cost of working on these wells from about $200,000 per job down to $20,000 to $40,000 per job, and not to mention the savings and electrical costs and other issues or not having to maintain that high horsepower equipment. And we are already starting to see the benefits of this program, which is even more important as we move into these times of lower oil prices. I’m through talking about those other guys now. As Kelly mentioned earlier, we drilled 16 wells on the Northwest Shelf in 2019. At the end of the year, we had filed 14 IPs, which averaged 555 BOE a day for an average of 114 BOE per foot. From the time, we began drilling in April, we've gone through an upgrading, I would say, a refinement of our frac process. We’ve used 3 different styles of fracs during that period of time. And through the efforts of our engineers in house and with consultation with other operators in the area, we have refined that down to a point where we feel like we have the optimum frac program now moving forward. We used that new frac design, when we drilled and completed our 4 wells in Q4. Preliminary results are extremely encouraging. The difference now that we're going to have between those -- the prior frac jobs and the one that we're using now is that we're using more perf clusters with fewer perforations per stage. We're doing a higher injection rate, and we're using higher sand concentrations. Three of the four wells that were fraced with this new design in Q4 averaged -- had average IPs of 648 BOE per day or 136 BOE per foot. At the end of the year, the fourth well was testing. But it was very encouraging we were seeing similar results on that well. And while we can't say that all future wells will see this magnitude of increase, we are extremely encouraged. I'm going to take just a second now and turn it back over to Hollie, and she's going to discuss our year-end reserves.
Hollie Lamb: Thanks, Danny. As we mentioned, we had completed our year-end reserved. We acquired Wishbone assets in April. And since that time, we have grown our total proven reserves by about 10% with respect to oil, despite an SEC oil modeled price reduction of about $10 or 16%. This could only be achieved by a strong PDP base that is accentuated with our rod conversions and reductions in LOE, and layering on strategic drilling. In 2019, income year-end proved reserves consisted of 71.4 million barrels of crude, which is approximately 88% black oil as a company percentage, and 58.3 BCF of natural gas. Of the 81.1 million barrels of BOE in total proven reserves, 58% of these are proved developed. Overall, we have added puds as well, our proven undeveloped locations. On our CBP asset, we have 40 identified proven vertical drilling locations, 29 proven horizontal locations and over 667 potential horizontal locations. In our Delaware, we have 43 proven vertical locations, 4 proven horizontal locations, and 154 potential horizontal drilling locations. On our Northwest Shelf asset, which we've referred to as the Wishbone asset, we have 57 proven horizontal locations, and 13 proven non-operated horizontal locations plus 231 potential horizontal locations. And all of this adds up to many years of drilling. At this point, I'm going to hand it back over to Danny to wrap up.
Danny Wilson: Hollie, I appreciate it. I'm going to give you a little more color on the information that Kelly gave you regarding our activity in the first quarter. To-date, we have drilled and completed 4 additional wells on the Northwest Shelf. All the wells are on test and performing well. The first wells were put on production in mid-February, which is a little later than we would have liked that did -- reduced activity, drilling only 4 wells in the quarter. We are actually now having to share frac crews. With other operators, we kind of had to get in line whereas opposed to couple years ago or even last year, when we had two rigs running, we were dictating the pace of completion. Now, it's more of a shared activity with some of the other operators. So, because of this delay, we are seeing a little bit of a reduction this quarter from last quarter, we expect to see about a 5% to 7% drop in production from Q4. That doesn't reflect on the quality of the wells we're drilling, only in the timing of the drilling. The program -- if we had moved forward with the drilling program we proposed early in the year with our higher CapEx budget, we had modeled out that we would have seen some modest growth here. However, with the suspension of the program, in the event that we do not drill any more wells, we're expecting to see an overall decline in our production from December of 2018 -- excuse me, December of 2019 of about 15% to 20%. As Kelly mentioned earlier, in the event our economic position begins to improve, whether it's through better oil prices or reduced drilling costs, we can easily get back to drilling in a matter of days. In fact, we have a drilling rig sitting on one of the locations just waiting to rig up. So, in the event things change, we can move quickly on that. And while we realized this by suspending the drilling program, we're sacrificing some growth. Our focus continues to remain on free cash flow and the strengthening of our balance sheet. But again, in the event that circumstances changes, we can immediately get back to work and we can turn that around very quickly. And with that, I'm going to turn it over to our President, David Fowler.
David Fowler: Danny, thank you very much. Many of us were speculating 2020 would see a robust M&A market, but due to last week's precipitous drop in oil prices and what we saw yesterday, most all M&A talks have what I would say gone into a holding pattern as everyone looks to navigate their way forward in these unpredictable times. Despite the drop in the commodity prices, make no mistake, we remain market-aware for potential ideas that we call value-add opportunities that we're going to be able to pursue without further leveraging our balance sheet. 2019, as you've heard, discussed this morning, was one of our best growth years in recent times. And as Randy mentioned earlier, we achieved our year-end objective of becoming cash flow positive, as we did so with a cash surplus of over $4 million. Again, I would like to remind everyone that our production averaged about 11,000 net barrels of oil equivalent per day. Now, to achieve a free cash flow positive position with what many people would consider a low daily volume is an exceptional feat when you take into consideration many of our peers who produce over 10 times our daily volume or about 100,000 BOE per day, have only recently achieved free cash flow themselves. The exceptional well economics from both the CBP and the Northwest Shelf, again this is what Danny and Hollie just detailed, is the cornerstone or foundation of our success and has proven our high stated IRRs are true, and is the primary reason we achieved this free cash flow milestone. Let me remind everyone, it's only been three years since we drilled our first pilot horizontal San Andres wells at the end of 2016. Our CBP assets along with the addition of the Yoakum County assets or the Wishbone assets have secured many, many years of highly valued horizontal San Andres drilling locations. In addition to the high rate of return horizontal San Andres wells, there are several other key elements that make us different from our peers, and have added to our ability to achieve this milestone such as, it started with a low entry cost for acreage, which was about $500 to $1,000 an acre, in all of our illustrations utilized $1,000 an acre, which was on the higher end. Again, it's also our high oil product mix, which you just heard reference was 88%. If you include into that production stream the liquids, that goes to about 94%. When you compare that to our Permian peers, typically they're going to be 20% to 25% below our product mix, or oil product mix of 88%. The higher percentage of oil results in a higher net realized price per BOE than our peers, and as illustrated on a bar graph on page 18 of our corporate deck, which is on our website. Another key factor is our short cycle times of just 32 days. Now, the 32 days was what we illustrated in 2019. Again, that's going to be on page 21 of our corporate deck. Let me define what a cycle time is. That's from the time that we spud a well to the time that we turn that well to the tanks. The quicker we can make that turn, obviously, the quicker we'll see the ability to count production, and also see revenues coming from that well. Typically, from the time that we spud a well to the time we start seeing revenues can be as early as 90 days and is maybe about 120 days. So, in that 90 to 120-day time period is what we can see a return on CapEx dollars expended. In comparison, on the middle of the Delaware Basin that cycle time is 5 to 7 months. So, you can see doing it in one month has a tremendous impact. Short cycle times don't negatively affect IRRs as much as it does for other peers of ours. And also be reminded that we don't have debt.  Short cycle times also enable us to respond quickly to commodity price fluctuations in days and weeks, not months. Another attribute of a conventional San Andres reservoir is its lower decline profile requiring less new wells to be drilled to maintain and grow production. You'll also note that in the early years, we invested CapEx dollars to build out our own pipeline infrastructure to dispose our produced water and transport oil and gas. As a result, it’s now paying off in lower lease and transportation costs. An area that isn't normally highlighted in a lot of people's conversations is G&A, especially on the administrative side. Our G&A is low in relationship to almost all of our peers, as evidenced by our conservative C-suite salaries, director salaries and bonuses. All the factors I've just mentioned results in a low cost structure that equals an all-in cost per barrel of only $25. Now, that includes lifting costs, production taxes, G&A and interest expense, not CapEx. Achieving and maintaining a free cash flow position is no easy task in today's volatile, some might even say hostile energy environment, and it illustrates a high level of success, when it can be accomplished at our low daily volumes of only about 11,000 net BOE a day. It is proof that Ring is a low cost operator and is one of the most profitable drilling projects in the Permian, coupled with the other factors I just referenced. Though we all have to quickly tighten our belts to adjust this new $30 price environment that we're in, we are confident that Ring is well-positioned to weather the storm. And with that, Tim, I'll turn it back to you for closing comments.
Tim Rochford: All right, David. Thank you. And thank you, everybody. The entire team did a great job of illustrating and discussing the key points. Before I turn it back to the operator, and I know we're all anxious to get to that queue, so that we can start with the Q&A. But again, reviewing the team, we applaud, because execution, we did exactly what we said we’d do. We actually not only reached cash flow neutrality, we surpassed it in the fourth quarter with a surplus of cash. And by the way, we did it with production growth consistently through the year. So, with that that really concludes our presentation. We're going to turn it back to the operator, and we're going to open up for questions that the listeners may have, operator. 
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Neal Dingmann of SunTrust.
Neal Dingmann: Good morning, Tim and team. Guys, my first question, just dive right into, it is more -- I mean, obviously with the stocks trading around the liquidity and CapEx, could you just -- Danny, you guys and Randy, and everybody sort of alluded to this, but could you maybe, Kelly all of you, give a little more color as far as when you look at with the redetermination coming with obviously not drilling any well, just how you look at sort of liquidity and maintenance CapEx kind of if I could intertwine those all together for the remainder of the year to have the confidence of continued free cash flow?
Tim Rochford: Yes. Well, Neal, let me just start off. This is Tim. Let me start off by saying, as we were hopefully clear in our release -- our release from a week ago, yesterday, I believe it was, we have ceased drilling for now. That's not to say that drilling couldn't come back into play. It will -- we measured a lot, of course, by the deck itself, the pricing. But we know, we're confident right now that in that $30 environment that we can service the debt, we can take care of the somewhat modest CapEx that we have somewhat budgeted out with infrastructure and the conversions that Danny and Hollie mentioned earlier. We know that I think everybody knows on this call that we continue with our efforts to monetize and look to sell that Delaware asset. And I can tell you, as I think Kelly mentioned earlier, surprisingly, even with today's environment, with the last couple of weeks, we still have some very serious interested parties and that they hopefully, as we do see a vision that goes beyond just this current pricing environment. So, we're hopeful that we can continue to pursue that. And then, along with the maintenance and the ongoing CapEx with reference to the conversions of the sub pump into the rod pumps, some workovers, et cetera. And at that $30 environment, keeping in mind that $30 environment gives us a yield much higher than that with that hedge component of $50. So, we're hoping Neal that the added value from October 1st, when we were last assigned or assessed value for the redetermination last fall, from that point until now that there's been a number of added value as it relates to the basket of wells that have been drilled and completed. I don't know that's enough to keep up with the differential and the pricing of then versus now. I think our price deck then was at $49, and maybe a little change. So, we'll have to wait and see what that's going to look like in May. But, we're having great communication with the banking group. We're trying to stay out in front of this. And we think we're going to do a pretty good job of keeping it, maintaining it going forward.
Neal Dingmann: And does that include -- you mentioned it, I know, you guys said it several items on not having to drill anything, necessarily else. What about just if Danny could just comment on the need and how much you could pull back just on the rods and some of the other infrastructure costs that you’ve had?
Tim Rochford: Sure. Danny?
Danny Wilson: Yes. No, Neal. And that's a good question. We know everybody wants to know that. Look, we've taken a look at our budget. Obviously, we came out with the earlier one in the mid-$80 million range. The new budget’s probably and we haven't finalized anything yet. But, I think right now we're looking at spend of about $40 million to $45 million, something in that range with about half of that already being spent in Q1. The deal with the rod conversions and ESP changes really had nothing to do with the drilling program. Those are the work we're doing on the existing wells. But, I think you can see -- I mean, we're seeing a dramatic drop in our costs on pulling these wills as we've been very aggressive, especially last year on getting a lot of these things properly sized and converting to the rod. Are some -- just for an example on this CBP during the first quarter, about half of the jobs that we've done now have been rod jobs as opposed -- and what I mean is working on wells that we converted last year to rods, about half of them are now that rather than just pulling ESPs. So, if you look at the difference in that at $200,000 a well versus 20 to $40,000 well, it's money well spent. We're going to continue forward with that program. We are pulling it back a little bit. We are not as aggressively looking at that. But, we're still going to be fairly aggressive. But again, out of a $40 million to $45 million potential budget moving forward, half of it already been spent in Q1, you kind of see what the rest of the year is going to look like.
Neal Dingmann: Great details there. And one last one if I could. Just, David for you or Kelly, any of you guys want to take it just. Could you just talk about the decline? I know you mentioned, I think year-end to year-end. But again, I'm not looking for just that. Again, could you talk about sort of how you all see sort of -- I guess, sort of two parts, but all dealing with the same question about the decline. Maybe how you will see it this year, I mean more than just quarter just year-end to year-end, but maybe your assets, and how should we be thinking you know, in a plan where you potentially are going to drill more wells. How should we potentially think about the decline?
Hollie Lamb: That's a really great question. Danny had mentioned -- this is Hollie. Sorry. In case you didn’t know, I'm the girl. So, Danny had mentioned year-over-year decline. We're anticipating in that 17% to 20% range. If we halt drilling now and don't pick up the drillbit this year, we're going to see further decline in next year, but it's into that flattening phase, because we don't have new wells on that high steep decline. They've already kind of hit their B factor and have had a lesser decline. So, I would anticipate somewhere in the neighborhood of 10 to 12, the following year if we didn't pick up a drillbit this year.
Operator: Our next question is coming from the line of Noel Parks of Coker & Palmer.
Noel Parks: I was just wondering, when you were talking about the big improvement you had in production from the new frac design, and you said you don't necessarily assume that every well will be that high going forward. I was wondering what would be the source of variability in production of future wells. Will it just be geology or just different performance, like you successfully brought production forward with the new frac design, but arrive at essentially the same EUR? So, what would that variability be going forward?
Danny Wilson: I'll answer part of that. And then I'll let Hollie address the EUR part of that. No, so far, we have a sample size of now eight wells that we've used to the new frac on. Now, we also have -- we developed this frac job in relation with several other operators in the area, particularly the Steward. And they are having tremendous success. The variability, yes, will come through the geology. Not every area is equal, we do have. And we have different landing zones, depending on the area. In some areas, we have multiple landing zones. So, that'll be it -- which to answer your question is geology. But, we are seeing that the wells that we’re using the new frac job on are superior, so far. The results are very superior to the wells that we've done in the past. When we look at the difference between 555 BOE a day and 648, that’s a pretty dramatic increase for -- and really the prices didn't change that much on the -- as far as the completion goes. So, do I think -- I think we'll start seeing -- I think we'll see continued success with that. Hollie also mentioned earlier that and I'll reiterate for everybody, our type curve is based on 400 BOE per day. So, you can see, they're far exceeding that. However, we're not ready yet because of the small sample size to change the type curve. But I’ll let Hollie address the EUR question.
Hollie Lamb: So, as Danny alluded, the geology plays a big factor in how we land these wells. The San Andres and the Northwest Shelf is about 400 feet thick. We've identified basically five potential horizontal benches, depending on where you are in the structure. They're not omnipresent. You don't have five in every well, or five in every section. And so, there is some variability in EURs based on landing zones and completions. The best thing for us to do is take a conservative approach. And as we build more data that can be verified, then we'll look at changing the type curve. The EURs overall are statistical play. We are seeing pretty consistent clustering. But, we're looking at exploring all the benches and maximizing that asset.
Danny Wilson: Yes. And Noel, I think, just to add to that a little bit. The bigger frac job was more sand and the higher injection rates. I think we're opening more zones. Again, we've only had these wells on since mid part of Q4, we really can't tell, what the EUR is going to be. But, I would expect that they are going to increase just because I feel like we're draining a larger part of the reservoir with each well.
Noel Parks: Great, thanks. And just for some perspective, across the industry, do you have an idea of roughly how many rigs are running right now on the Northwest Shelf in the platform at the moment?
Danny Wilson: That's a good question. I think, in our particular play -- now, that’s all I can really speak about, I don't know of any of the offset operators who are drilling on the Northwest Shelf, or do you, Hollie? Our field guys haven’t reported anybody drilling there?
Hollie Lamb: We are always in constant contact with a lot of the operators out there. We have non-op interest in their wells. They have non-op interest in our wells. And talking to Steward and Riley, I don't believe any of them are drilling on the Northwest Shelf, particularly in the San Andres right now. I am trying to look up on Baker rig count, and that's a good source of rig count availability. And they have been listed by operator. I'm just not quick enough.
Danny Wilson: Yes. And on the CBP, Noel, I'm not aware of anybody. I mean, we’ve really been the only company drilling horizontally for quite a while on the CBP.
Operator: Our next question is coming from the line of Dun McIntosh with Johnson Rice.
Dun McIntosh: Most of my question have been asked. I think you all did a great job of kind of walking through everything on the call. But, just for a point of clarity, you talked about earlier in the call, I think bringing in the event the prices do come back. And when you do get out in the field, bringing -- having a rig and spud to TIO in kind of 30 days. And then later in the call, you mentioned 90 days. Just kind of any color on there about how quick you could get operations back up and running in the event of a price recovery in the next 12…
David Fowler: Yes. No. I mean somebody said 90 days. That was incorrect. The only thing I mentioned there, and typically our cycle time is about 30 to 35 days, somewhere in that range. We were a little longer this time. And as I mentioned, it was because -- when we had 2 rigs running, we controlled the frac crew, we controlled everything in the field. And we occasionally would let the frac crew go and work for somebody else. But now, obviously, with the reduced activity, there's a little more sharing. I mean, we're in communication -- we share frac crew with Steward and Riley, and a few other small operators in the in the area. And it's just kind of a coordination thing. But, I can tell you, nobody else uses the drilling rigs that we use. We use a rig that's too big for a vertical well. It's too small for the shale wells. We use a company called Robinson out of Big Spring. They have 2 or 3 of these rigs that they've modified just for the Central Basin platform in the Northwest Shelf, San Andres drills. Those rigs, literally have one sitting on the next location. So, I mean, it's just a matter rigging it up. Our drilling superintendent or manager and our completion guys have been on the phone constantly. As you can tell, we're using the lower drill cost now in our economics. I think, there's going to reach a point where, just like it did in 2014, we're going to figure out a way to work at $30, $35 a barrel. We did it before, we'll do it again. But those costs are going to have to come down a little bit farther. So, can we get it turned around very fast? Yes, absolutely. These vendors are sitting on our doorstep. They are waiting to go back to work. So, we can get it up and running very quickly. 
Operator: Next question is coming from the line of John White of ROTH Capital. John White of Roth Capital.
John White: Congratulations on the quarter and congratulations on your execution. Very nice. I liked seeing you stop drilling and stop your CapEx devoted to drilling. And as much as you're continuing your infrastructure spend on rods and pump and the change out, would you -- it might be helpful, would you consider putting out a CapEx budget for the rest of the year that just addresses those items, and as you noted -- I mean, I understand your -- from an operation standpoint you can get back to drilling much quicker than the shale operators but for having a more precise number on infrastructure spending in a press release might be helpful for people?
Tim Rochford: You bet, John. That's a good -- that's a great point, actually. And that's something that we are working on and we plan on doing that. Just give us a little more time so that when we put that out, we'll be pretty certain where we're standing.
John White: Okay, I just wanted to suggest that. And yes, I know the Robinson Drilling guys, Luke Crownover. That's a good group.
Tim Rochford: Yes. We're very pleased with their equipment. By the way, just to clarify, obviously, Steward is listening in and they texted us. They have a rig running, so.
Hollie Lamb: There you go now. There is a rod rig running.
Operator: Our next question comes from the line of Andrew Bond of Alliance Global Partners. 
Andrew Bond: I'm calling in for Bhakti. Thanks for taking our questions. If you're able to share how many of your collar contracts have you exercised so far this year?
Randy Broaddrick: Sorry. I want to understand when you say exercised, and what we have is costless collars with a floor and ceiling. So, they’re -- with the price declining, they come into play, we haven't -- it's based on the average price. So, most likely for March we'll end up receiving a payment. We did not receive or pay anything for January or February as the price was between the collars. Does that -- I'm not sure what you meant by exercise.
Andrew Bond: Yes. I guess that's helpful. Maybe then, just as a follow-up, to get a little more detail. Would then those contracts -- maybe you can help like kind of the exercise, not exercise. Just kind of the process, while spot prices are below your -- below the floor prices, would then the lowest call prices be paid out first or do -- is there a decision process there or is it kind of just whatever rolls off?
Randy Broaddrick: So all of our collars for 2020 are the same with the $50 floor. And so, on a monthly basis, the average price is compared to that $50 floor. And we receive that amount times the 5,500 BOE a day that we have hedged. So, there's no exercise. And it's essentially a kind of an automated process. Once the price for a month is finalized, it’s compared to those floors and then multiplied by the volumes that we have hedged.
Andrew Bond: Yes. That makes sense. That’s helpful. I guess, I'm just trying to figure out kind of these different kind of levels of puts and calls, kind of trying to figure out which ones will, for lack of a better word, disappear first?
Randy Broaddrick: None of them really disappear I guess the thing. I guess, they come off a month at a time. But, we have the 5,500. If you're talking about the ceiling, those will all stay the same for the year. We have that amount. So, as far as the floor, the $50 is the same for all of them. And so, say the price ends up being $30 for March, we will then receive $20 times the 5,500 BOE a day. I'm not sure how else...
Andrew Bond: Right. No, no. That makes perfect sense. I’m more so trying to figure out -- I guess, I understand the gain their below the 50, but maybe I'm missing something here on the call price. Just trying to figure out how those will change -- those volumes will change as you're getting the gains for -- as prices are below the foot price?
Randy Broaddrick: The ceiling won't change. The average price is going to stay the same for the entire year.
Operator: Our next question is coming from the line of Logan Moncrief with Thomist Capital.
Logan Moncrief: Focusing on the spring redetermination, using the reserve report that was published in the K, I guess, I'm kind of calculating back of the envelope PDP value at strip at around $400 million. The question is, I mean, just kind of the way that banks are kind of gearing up, I guess, you'd assume that there'd be some sort of haircut to that. So, I guess, the question is kind of mechanically kind of how does that work? If they come in with the borrowing base that’s lower than what's drawn on the line right now, how much time do you have to cure that and kind of what options do you have to cure any deficiency there?
Tim Rochford: Certainly. That's a good question, Logan. So, let's try to address as best we can. So, looking back at the value that was given the last determination, I think we mentioned earlier in the call that was based on a $49 debt. Obviously, that number is going to change. And the result of that is going to so put the pressure on, as you're suggesting, which you're correct, rather than expect a full $425 million base, what would the adjustment look like? So, one thing that we have to consider is -- in our favor is that since that last determination that last evaluation, whether you make up the difference between October 1st and year-end, which is a catch up on the third-party reserves, you're making reference to, there's also the activity that’s flowed over, both on the completion side, as well as the drilling and completion side for the new wells. So, that will add to the basket value. And whether or not that's enough to make up remains to be seen. I doubt that it will be as we're seeing the strip today. I can tell you that we've run some preliminary numbers as recent as of late last week, and we feel that across the board that we are going to probably still be closer to maybe 500 million. Of course that depends on where that deck is going to be when they run it. But strip last week, and Hollie help me if you can here. I know that we were working on that Wednesday or Thursday, I think we were somewhere like 500 million number?
Hollie Lamb: Yes. I ran it with a strip last week and then adjusted for the hedges. And that put us in the PDP number of around 540 million. And so, as Tim has mentioned, In May, jus are boring but, we were near that in our fall redetermination.
Logan Moncrief: So, is it safe to assume that if they use something that resembles strip here that your borrowing base would go up, would increase?
Tim Rochford: No, I don't -- I am not expecting that at all. I think, what we're suggesting is that if they -- if we stay on the same similar parameters as before or as past years, and with the adjustment from -- and I'll share with you that back at October 1st, our PV10, or actually it was PV9 on PDP was right in the round numbers of 675 million, for example. Our PV10 at year end, or at that time was, I should say, at October 1st was about 650. But PV9 was right at that 675. So, with adjustments, keep in mind that they were $49. So, with those adjustments now, we would anticipate that that base could in fact, or realistically could come down. I guess that the other part of your question is, to try to respond to that is, okay, well, what can we do about that? What are our options? Well, we do have free cash flow taking place as we speak. So, we feel we're in a position where we can whittle away at that principle right now, not significantly, but to some degree. So, I think it's going to go a long ways to be able to show the banking group that we've demonstrated we can do that. Aside from that, you know that we've been marketing for some time the Delaware asset. And even though you would sit in an environment today and say, who the heck is going to write a check? Well, they’re -- believe it or not, as Kelly mentioned, they’re those that maybe not banging the door down, but they're at the front door, very serious parties that we're still talking to at numbers that are reasonable for us to consider. So, that's an option. And of course, if the bank comes back and says well, look, your new base has been adjusted to $375 million and you've borrowed $366 million, that gives a very, very little liquidity, but we don't plan, Logan, we don't have a plan to outspend. So, hope is one thing, that's not a strategy. The strategy is, we're going to stay within -- we're going to stay within the boundaries of our cash flow, and adjust that and manage that the best we can.
Logan Moncrief: Okay, perfect. And I appreciate you taking my questions. And just one more on Q4 production, kind of this scenario where oil stays in this $29, $30 range and you just significantly cut your activity and just let some cash flow -- a little bit of cash flow be generated from the assets. This kind of gets to what Hollie was talking about in terms of declines. But, what does Q4 production look like under that scenario, that draconian scenario?
Tim Rochford: Are you talking about Q4 or Q1?
Logan Moncrief: Q4 of '20 -- Q4 of '20 kind of an exit rate production. 
Tim Rochford: Yes. Hollie, I think you’re best to probably address that.
Hollie Lamb: I -- me and Danny are both looking at each other and neither one of us have that on our cheat sheets that we have in front of us. So unfortunately, as Danny mentioned, it was going to be in that 15% to 20% reduction from where we currently are and so -- year-over-year. So, we can do the back of the napkin calculations, but we don't have that number.
Danny Wilson: Yes. I think you could just kind of shoot for somewhere. If you look at our Q4 number, from this year, just kind of shoot for about 15% to 20% less than that. And it should be -- you should be in the ballpark.
Operator: Final question is coming from the line of Richard Tullis of Capital One Securities.
Richard Tullis: Just a quick one for me. I guess, probably best for Danny or Hollie. Talk a little bit about higher oil price or lower well cost to get back to drilling. Can you kind of frame up for us really what you're looking for that combo of higher oil price or maybe even more importantly, lower well cost to resume drilling in Northwest Shelf?
Danny Wilson: Sure. No. And that's a great question. Richard, we went through this -- like I mentioned before, we went through this in 2014. And what we saw was that the prices on commodity -- not the commodities but on pipe, on drilling, on everything lower down to a point -- I mean, these guys, these vendors don't want to go out of business. So, they're going to lower their costs down, whether it's through cuts to their payroll, just whatever it is. They're going to do everything they can to get these prices down to the point where we can go back to work. And I think, it might take a little bit of time for everybody get to that point, depending on if we see any -- obviously any rebound in the pricing. We would have to sit down and run our models and see at what point can we service our debt, pay down -- maintain free cash flow and then also have some excess cash to go back to drilling? I think, that these points will be clarified probably in the next 30 to 60 days. I think, we'll have a better feel, because what I've mentioned to Kelly and Tim, and the rest is, I've been surprised at how quickly the vendors have responded. Typically, in the past and all the other downturns we've been through since I've been in the business, but it typically takes about six months for the vendors to come to their senses and realize that they're going to go out of business if they don't lower the prices. We were getting calls on - after the Russia announced they weren't going to get in line with OPEC. We had calls the next day from vendors already slashing. We've had -- we've seen reductions already anywhere from 15% to 20%. I expect those to get a little deeper as we continue forward. I would be surprised if we don't reach a point where these costs are going to get down to a point we can go back to work, at least on a limited basis.
Operator: We have reached the end of the question-and-answer session. I will now turn the call back over to management for any closing remarks.
Kelly Hoffman: Thank you, operator. Well, listen, we know that it's a busy time. And there's a lot of distractions out there. So, once again, thank you for giving us your time and listening in this morning. Everybody, stay well. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and have a great day.